Operator: Good day and welcome to the NexPoint Real Estate Finance Q1 2022 Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Jackie Graham. Please go ahead.
Jackie Graham: Thank you. Good day, everyone and welcome to NexPoint Real Estate Finance’s conference call to review the company results for the first quarter ended March 31, 2022. On the call today are Brian Mitts, Executive Vice President and Chief Financial Officer; Matt Goetz, Senior Vice President, Investment and Asset Management; and Paul Richards, Vice President, Originations and Investments. As a reminder, this call is being webcast through the company’s website at www.nref.nexpoint.com. Before we begin, I would like to remind everyone that this conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 that are based on management’s current expectations, assumptions and beliefs. Listeners should not take undue reliance on any forward-looking statements and are encouraged to review the company’s annual report on Form 10-K and the company’s other filings with the SEC for a more complete discussion of risks and other factors that could affect the forward-looking statements. The statements made during this conference call speak only as of today’s date and as such as required by law, NREF does not undertake any obligation to publicly update or revise any forward-looking statements. This conference call also includes an analysis of non-GAAP financial measures. For a more complete discussion of these non-GAAP financial measures, please see the company’s presentation that was filed earlier today. I would now like to turn the call over to Brian Mitts. Please go ahead, Brian.
Brian Mitts: Thank you, Jackie. Appreciate everyone joining us this morning. I will start the call by going through our results for the first quarter. I will cover guidance briefly and then turn over to the rest of the team for them to give a detailed commentary on the portfolio, some recent activity, some of the things that we see ahead for the remainder of the year. For the first quarter, we reported net income of $0.81 per diluted share compared to net income of $1.26 per diluted share for the first quarter of 2021. We reported earnings available for distribution of $1.23 per diluted share for the first quarter compared to $0.43 per diluted share in the same period of 2021. We reported cash level for distribution of $1.58 per diluted share compared to $0.47 per diluted share in the first quarter of 2021. Book value per share increased 1.3% quarter-over-quarter and 7.1% year-over-year to $21.78. In the first quarter, we paid a dividend of $0.50 per share and the Board has declared a dividend of $0.50 per share in the second quarter. On the guidance for the second quarter, earnings available for distribution per diluted share, we are guiding to $0.55 per share at the midpoint of the range of $0.50 to $0.60. And for cash variable for distribution per diluted share, we are guiding to $0.64 per share at the midpoint with a range of $0.59 to $0.69. So with that, let me turn it over to the team to go through the portfolio and some of the recent activities.
Matt Goetz: Thanks, Brian. The first quarter continued to show strong performance across each of our investments and asset classes. The portfolio is currently comprised with 78 individual investments with approximately $1.6 billion in total outstanding principal. The loan portfolio is 97% residential, with 44% invested in senior volumes, collateralized by single-family rental, 54% invested in multifamily, primarily via agency CMBS. The remaining 3% of the loan book is life sciences and self-storage. The portfolio’s average remaining term is 6.4 years, with 94% stabilized. It has a weighted average loan to value of 67.7% and an average debt service coverage ratio of 1.87x. The portfolio is geographically diverse with the bias towards the Southeast and Southwest markets. Texas, Georgia and Florida combined for approximately 49% of our exposure on a geographic basis. 100% of our investments are current. As mentioned in our earnings, most of our underlying loans are currently in forbearance. Moving to the opportunities we were able to take advantage of during the quarter. During the quarter, we originated the convertible note in the amount of $38.7 million bringing our total convertible note exposure to ground leases to approximately $60 million. Subsequent to quarter end, the sponsor repaid all the $25 million of this amount, which is converted into common equity in the company at a 12.5% discount. On January 14, we purchased $19.6 million of preferred equity collateralized by single-tenant stabilized pharmaceutical manufacturing property, with a current yield of 10%. On January 27, we purchased $41.8 million of our preferred equity investment collateralized by a stabilized multifamily property in Las Vegas, Nevada. On January 25, 3 single family rental first mortgage loans with an aggregate principal amount of $32.1 million were repaid in full within revenue achieving an IRR of 41.5%. On February 23, a $62 million single-family rental first mortgage loan was repaid in full and realized an IRR of 35.9%. In summary, we continued to find attractive investment opportunities throughout our target markets and asset classes and we will continue to evaluate these opportunities with the goal of delivering value to our shareholders. I would now like to hand the call over to Paul Richards.
Paul Richards: Thanks, Matt. During the first quarter, the company is yet again active in the primary bond market. Though there were not anything in the bond acquisitions we made during the first quarter, the company participated in two Freddie Mac bond auctions. One of which was a small balance loan VPs and Freddie Mac’s  program and the other, which was a floating rate, both auctions demonstrated extremely strong demand and ultimately priced well inside previous market clearing levels. Just this morning, we closed on a seasoned Freddie Mac small balance loan VPs. The VPs was purchased for approximately $39 million, which we will prudently lever via attractively priced repo financing. The bond carries the current coupon of approximately 4.25% and is purchased at a discount. We expect to generate an all-in unlevered yield of roughly 8% and levered yields in the low to mid-teens. The weighted average life of the bond, assuming a 15% CPR is roughly 6.5 years. As discussed in the previous quarter’s commentary, the market continues this year its inflation headwinds, along with the Fed signaling multiple half point rate hikes. So as previously mentioned, there has been insatiable demand for Freddie Mac VPs bonds and we continue to see the price – we continue to see price tighten. We continue to successfully lever on our repo at roughly 57% LTV at quarter end. Lastly, I want to briefly touch on the continued performance of the SFR loan pool in the Q1 2022 loan pay-downs. All SFR loans are currently performing and demonstrating strong measures in terms of rent growth and occupancies as the demand for single-family rental continues to shine brightly. The portfolio has had a few SFR loan pay-downs in the first quarter, which generated a combined IRR north of 40% compared to the original underwriting of 9%. Due to the early prepayment tally, the investments we are able to generate additional net proceeds at the original underwriting, which was roughly one-third of the original investment time horizon. To finalize our prepared remarks before we turn it over for questions, I’d like to turn it over to Matt McGraner.
Matt McGraner: Thanks, Paul. Again, we continue to be pleased with the underlying credit performance of NREF’s portfolio, generating good value growth for the eighth consecutive quarter, while providing durable cash flows for our shareholders. The recent market volatility has started to bear fruit for NREF’s investing pipeline, creating effective chance in gas financing opportunities in our core property types, especially in the multifamily sector. And finally, we continue to cultivate programmatic special situation and preferred opportunities with SFR, storage, multifamily sponsors with an underwriting pipeline today north of $400 million. Just want to thank the team for continued execution. And now I would like to turn the call over to the operator for questions.
Operator: Thank you.  Our first question today comes from Stephen Laws from Raymond James. Please go ahead.
Stephen Laws: Hi, good morning. As we look at the portfolio of mix, the multifamily SFR mix has sort of flipped over the last year. As you look at your investment pipeline and where you are seeing the most attractive risk-adjusted returns, where do you see that mix going say over the next 12 months?
Matt McGraner: Hey, Steve, it’s Matt McGraner. Yes, I think we continue just to have more financing opportunities within the multifamily sector. It’s just a larger market, more institutional, more transaction volume. Obviously, the Freddie Mac pipeline is going to stay there. And as I mentioned kind of briefly in the prepared remarks, as long as the agencies kind of keep spreads wider than banks and other license, we are seeing these GAAP financing opportunities in the multifamily sector kind of accelerate. So, our historical private preferred pipeline is about $100 million a year. That can be $200 million this year as just lower LTVs that are generated by the agencies to create that 65% to 85% of stack type of financing. So, I would expect us to spend a lot of time in that market and that’s just a function of the recent volatility.
Stephen Laws: Thanks, Matt. And on the common stock investment kind of what’s the outlook there and if you fully redeploy that into investments today? If you were to kind of look at it that way, what type of impact would that have on adding interest income or CAD to the current portfolio returns?
Matt McGraner: Yes. So the ground lease investment, I think is what you are referring to, right?
Stephen Laws: Yes.
Matt McGraner: Yes. So we decided to convert – we could have repaid – could have the whole thing repaid, but we like the – likely being some out there and just have some connectivity with the sponsor, number one. And then number two, probably more importantly, we think it’s a 2x over 3 years. So our – hopefully, investors realized that we are not just a dividend payer. We do have special situation investments like this one that create the book value growth and more total return potential than the normal merger etcetera. We like that risk-adjusted profile of creating roughly another $1 or $1.50 a share for shareholders.
Stephen Laws: Great. Thanks for the color, there. You mentioned dividend, I do want to ask about that lastly. Strong coverage outlook in the supplement, it looks like continued strong coverage. Can you talk about how you think about setting the dividend and talks about potentially increasing given the strong coverage you have in place?
Brian Mitts: Yes. Hey, Steve, it’s Brian. I think overall, we want to make sure that we can continue to cover with go-forward earnings. And obviously, it’s difficult when you are getting prepayments and things to really estimate that out into the future. So as we increase earnings, we want to be cautious about increasing the dividend and try to pay to that coverage to our earnings available from distribution because we think that’s also better longer term to you than just cash available for distribution. So I think once you get a couple of quarters under our belt for the current portfolio and better understand where the prepayments are going to go, particularly in that SFR pool, where I think just the run-up in values of SFR properties puts the borrowers in a position where they are at a pretty low LTV with our loans. They can refinance those pretty easily and not very expensive either and go up to a large LTV. And so it makes sense for them to pay these huge prepayment penalties in some cases. But that just creates a little bit of uncertainty in the portfolio. So we just want to be careful before we raise the dividend. But we will look at it as a coverage on earnings level from distribution is our sort of benchmark.
Stephen Laws: Great. I appreciate comments, Brian.
Operator: Thank you. We will now take the question from Jade Rahmani from KBW. Please go ahead.
Jade Rahmani: Thank you very much. As it relates to the multifamily outlook, how are you thinking about it in terms of valuation of the asset class from the impact of rising rates and also a potential slowdown in rent growth? For some color, I think the shelter index is about one-third of what the Fed looks at in terms of inflation. And given the time line to turn over assets, and I believe multifamily turnover ratios are still running low, that adjusted inflation will have a lagging effect on inflation. And so if the Fed really wants to get inflation under control, they have to slow down, not just the home purchase market, but also the rental market. So question is, what are you thinking and projecting for the outlook for rent growth in multifamily as well as single-family for rent and what impact do you think housing – sorry, rising rates will have on cap rates.
Matt McGraner: Yes. Hey, Jade, Matt here. Lots of unpack there. I think we reported in earnings 2 days ago, our strong same-store NOI growth that we’ve had in a couple of years. Blended lease growth, both renewals and new leases, north of 20%, same thing that occurred into April. In Americas, just basically the same thing this morning or yes after the close and most of the operators in sort of I guess even the gateway markets have all kind of increased guidance in terms of just seeing top line and GPR growth within their rev rolls. This year, I think is – we will see continued strength in underlying leases, especially and particularly in the agency and middle market, the agency cohort. I think the cap rates for the transaction volumes, at least for now, have kind of – to take a brief pause, but there is still a ton of equity out there chasing deals. And while there might be less sort of in the buyer pool, so to speak, those are well healed and the institutional capital is still chasing multifamily because of this underlying growth in stability in the rents and a perfect – not perfect, but close to as perfect as you can get for an inflation hedge. Capital has been – more capital, institutional capital has been allocated towards the residential sector for these reasons as an inflation hedge, and – so I don’t see that abating. Cap rates right now have remained steady. There is a negative debt cost at least on the agency side, where cap rates are tighter than spread. And so that dynamic gives us some concern. If any, the cap rates would increase, but they haven’t yet. And as I’m sure you’re aware, in the last few weeks, the agencies have continued to tighten spread. So yes, I’d say that we’re still positive, obviously, on a relative basis to a multifamily, more so than probably any other property type in this current environment, especially when it’s in the middle market segment, which is largely where most of our activity is. In terms of SFR, I’ll let Brian or Paul comment.
Brian Mitts: Yes, I’ll start. It’s Brian. It’s a lot of the same dynamics, I think, with multi – and overall, I think we look at the portfolio itself and the underlying assets. And again, the LTV in those deals is fairly low. It’s hard for us to report on that because we don’t get updated numbers specifically across the entire portfolio frequently, but being in the business and owning over 22,000 loans ourselves across the country in different vehicles, we do understand that market. And so we feel pretty optimistic about it. But as we mentioned earlier, it is a loss institutionalized sector, it is harder to find opportunities, and there is a big disparity between a handful of really large players and then everyone else is pretty small and not necessarily the types of partners we want them into from those vehicles. So I think as far as the sector goes, like SFR, it’s got a lot of strong fundamentals and tailwinds, but it’s hard to put money to work there. And obviously, we don’t control the loss prepayments in the current environment. Paul, if you want to...
Paul Richards: Yes. I mean, I agree with everything, Brian just said. Just the only thing I would add would be difference between homeownership versus in the SFR space. We’ve seen mortgage rates go up at 5%. And if we look at our home ownership costs versus renting, it’s 40% more HPA versus renting. It’s only been about 10% to 15% in growth rates. So it’s a little cheaper rent on the SFR side. I think if you look at our rental to income, it’s still 20%, 25%. So there is still room to run in that regard. So I think it’s still attractively priced from a rental standpoint.
James Dondero: I think lastly, Jay, I don’t know how the Fed is going to get it under control by raising rates. We’ve had this debate internally. And I mean the Fed increases will just continue to make home ownership less affordable and available to the masses. So I think that the rental space, the middle market space that we operate in, where majority of our investments are, well you need to benefit from that.
Jade Rahmani: Yes, thanks. I don’t know how they will either – they may need to cause unemployment to rise, and that means probably a recession, but there is a labor shortage. So hard to see how all of this plays out. Let’s see, on the single-family rental repayments, any partial pay-downs received from Progress Residential. And with CLO spreads widening and the all-in cost to issue CLO so that decrease any likelihood of repayment from Progress Residential?
Paul Richards: Hey, Jade. It’s Paul. On the progress residential of the resi loan that – yes, no prepayments on that. It’s still a long-dated bonds. So or long-dated loans, so the prepayment is still, call it, 20% or so. Yes, I don’t see that prepaying anytime given the size. So Brian, anything else on that?
Brian Mitts: Yes, that’s all true.
Jade Rahmani: Thanks you. In terms of the GSE multifamily outlook, do you think that they have recently picked up volumes or they are still struggling to gain market share? I saw recently that there are some stories about them loosening underwriting, not just tightening spreads, as you mentioned, but also their look back that service coverage ratios. A lot of deals haven’t penciled for them because we’re looking at old rents instead of where things are today. Do you have a sense of whether their deal flow has picked up?
Matt McGraner: Yes. I mean, you’re exactly right anecdotally there. They had a pretty terrible March in terms of production. April doesn’t seem like they are really gaining any more market share this less transaction volume in April anyway. And they are definitely behind their pace. We had peak in here, I think, 2.5 weeks ago. And they were, I guess, just trying to internally work through how they can be competitive and make sure that they still provide liquidity to the market because right now, they are about a month behind last year’s run rate.
Jade Rahmani: Can you give a mark-to-market book value? Is book value down based on where rates have moved thus far in 2Q?
Matt McGraner: From the CMBS side, the VPs actually did tighten given the fact that the auctions priced 200 basis points higher than the original market playing levels or the previous market playing levels. Those tightened. The IO strips which of course are more interest rate sensitive. Those did have, one, amortizing and two, interest rates rising did cause a little bit of mark-to-market loss on IO strips. But all in all, I believe it was a pretty tight quarter in terms of the CMBS quarter.
Jade Rahmani: Okay. But so post quarter end in the second quarter so far, is book value relatively flat, would you say or is it up or down? Any comment you can provide or not really?
Matt McGraner: Yes, relatively flat as of this month.
Jade Rahmani: Okay, thanks very much and appreciate the color.
Matt McGraner: Thanks, Jade.
Operator: Thank you.  It appears we have no further questions at this time.
Brian Mitts: Okay, great. Appreciate everyone’s time. Thank you for participating. We will talk to you this quarter. Thank you.
Operator: Thank you. This will conclude today’s conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.